Operator: Ladies and gentlemen, thank you for standing by, and I would like to welcome you to Sisecam Investor and Analyst Call for 2025 Results Call on the 17th of February 2026. [Operator Instructions] Without further ado, I would like to pass the line to the CEO of Sisecam, Mr. Can Yucel. Please go ahead, sir.
Can Yucel: Thank you very much. Good afternoon, ladies and gentlemen, and welcome to our 2025 full year earnings results webcast. I'm very happy to meet you all again to share our full year-end results. And today, I'm together with our CFO, Mr. Gokhan Guralp; and our Investor Relations Director, Ms. Hande Özbörçek. Now I would like to hand over to our CFO, Mr. Guralp, for the presentation and the review of our year-end consolidated financial results. Mr. Guralp?
Gökhan Güralp: Thank you very much, Mr. Yucel. Good afternoon, ladies and gentlemen, and welcome to our 2025 full year earnings results webcast. I hope that everyone is safe since we last spoke. And I would like to thank you all for joining us today. We will commence today's webcast by presenting our financial and operational results for the full year 2025 with particular focus on performance of individual business lines. Subsequently, we will detail our cash position and capital allocation. Following the operational and financial review, we will conclude today's presentation by providing updates on recent developments in our company's sustainability initiatives. As always, we will pleased to take your questions at the end of the presentation. Please be reminded that the presentation and Q&A session may contain some forward-looking statements. Our assumptions and projections are based on the current environment and may therefore be subject to change. Before we start presenting our company's 2025 financial results review, it is necessary to remind you that pursuant to the Capital Markets Board decision, Turkish corporates, including our company are subject to IAS 29 inflationary accounting provisions since the end of 2023. 2025 full year financials and comparative 2024 results that will be present in today's call contain the financial information prepared and audited in accordance with Turkish financial reporting standards for the application of IAS 29 inflation accounting provisions and are finally expressed in terms of purchasing power to Turkish lira as of December 31, 2025. At the end of the operational and financial review section, you may also see a display of our key financial report based on IAS 29 standards and which are basically the set of info provided to our main shareholders as financial institutions are exempted from the implementation of IAS 29 standards. We concluded the year with a consolidated revenue of TRY 225 million, down by 8% year-on-year. The decline in revenue was largely due to performance differences from an individual business line perspective. Negative contribution of the mismatch between Turkey's annual inflation rate of 31% and the depreciation of the reporting currency by 29% to the top line performance was quite limited as it has tightened given the downward trend of the former. For glass business line sales volume performance was stable, thanks to positive architectural glass sales volume accompanied by flat to slightly growing volume in glass packaging and industrial glass operations, offsetting the impact of weaker glassware activities. Chemicals business line experienced a modest decline in annual sales volume due to global oversupply conditions. Product pricing improvements were visible in all glass businesses and across all geographies, while pricing in our chemicals operations underperformed the prior year in hard currency terms. Our EBITDA recorded at TRY 24 billion was up by 32% and translates into a margin of 11% compared to 7% in 2024. Despite tough market conditions, the increase was primarily a result of the management's focus on efficiency improvements and the operational optimization. Efforts to enhance productivity, prioritize value-added product offerings and strengthen capacity management practices contributed to margin expansion. Higher production efficiency helped reduce operational costs while better resource utilization supports overall profitability. Profitability improvement was also triggered by upward price revisions in our glass operations worldwide. Profit before tax almost tripled year-on-year. Parent Only net income soared by 50% and amounted to TRY 9.9 billion. Parent Only net income margin stood at 4.4%, up by 170 bps. Monetary gains recorded in the full year inched up by 13% to TRY 23 billion. During this period, we recorded a deferred tax expense of TRY 1.2 billion in contrast to a deferred tax income of TRY 3.5 billion in the previous year. This shift from income to expense arose from improved operational performance, which led to a decrease in deferred tax income. Additionally, the change in accounting methodology to exclude inflation accounting in statutory accounts in Turkey and revalue the books based on a rate lower than the annual inflation contributed to the deferred tax expense. Next slide. On this slide, we would like to demonstrate the underlying performance of our company, excluding the impact of inflation accounting. For this, we are using adjusted EBITDA figure that is defined as EBITDA adjusted for inflation accounting effect through the elimination of monetary gain loss impact on relevant P&L items. Please be reminded that we have been providing the breakdown of net monetary position in the notes section to our financial statements since 2024 year-end. And going forward, we will be presenting both EBITDA and adjusted EBITDA for the monetary gain and loss in our leverage calculation. With this graph, we addressed the negative impact exerted by the inflationary accounting framework on our company's reported performance. As can be seen, the sum of inflationary accounting impact of the relevant P&L lines was close to TRY 20 billion, more than 90% of it being related to the cost of goods sold account in 2025. With majority of industrial capacities concentrated in Turkey amidst a high inflation environment, the impact on cost is inevitable. This is seen by increased direct labor expenses and elevated production overheads. Inflationary accounting practices lead to inflated inventory values, thereby defying the inflationary impact on costs. inventory turnover inherent in the nature of the business further elevates the cost of goods sold. Accordingly, adjusted EBITDA calculation indicated a consolidated profitability figure amounted to TRY 43.7 billion. Adjusted EBITDA margin moved up by circa 250 bps to 20%. Moving on to Slide 6. We will review the segmental breakdown of our consolidated top line and EBITDA. Once again in 2025 [indiscernible] maintained a well-balanced structure with glass operations composing 2/3 of our revenue. Our largest glass operation with 4.6 million tonnes per annum flat glass gross production capacity composed of 15 active production lines in Turkey, Bulgaria, Italy, India and Russia as well as 1 line in Egypt in partnership with Saint-Gobain, architectural glass contributed 24% to our consolidated revenue. Notably, it ranked as the top EBITDA generator with 49% share in our consolidated EBITDA, thanks to improved pricing environment, growing demand with regulations favoring higher energy efficiency millings, which is introduced last year in Turkey and set to limit the energy consumed by the heating and cooling systems and the enhancements gained through the efficiency management program initiatives. The commissioning of a brand new pattern glass line as well as energy glass processing capacities in Tarsus greenfield facility in September last year has further supported the business line with higher concentration on value-added products in our sales mix. Based on our primary goal to position Sisecam as a global leader in glass producer investing in the future of glass while increasing its presence and market share, we aim to leverage our capacity to capitalize on the growing demand across regions. This demand is increasingly shifting from commodity products to value-added solutions, particularly those enhancing energy efficiency in buildings and enabling feasible energy generation. In line with this principle, we have prioritized the introduction of specific capacities dedicated to these types of products. As we announced in our last meeting, the commissioning of a new flat glass furnace and a coated glass line investment in Turkey will take place this year in addition to 2 coated glass lines taken online in the first quarter in Bulgaria and Italy. Our 3.3 million tonnes per annum glass packaging business line with its 25 online furnaces at 9 production facilities and in 3 countries was ranked as the second largest contributor, accounting for 23% of our consolidated revenue and 33% of our EBITDA. Please be reminded that very recently, we commissioned our Hungary greenfield investment with the aim to start the ignition of 1 furnace, which will increase the business line gross installed capacity by 6% to 3.5 million tonnes per annum. Our chemicals operations stood as the third highest performer in terms of contributions to both revenue and EBITDA with 21% in the former and 25% in the latter. Industrial glass business line, which accounted for 12% of our consolidated revenue had a positive impact on our EBITDA generation capacity with 8% share in our consolidated figure after an extended period. This improvement followed the implementation of operational efficiency measures, including but not limited to the consolidation of the encapsulation operations at a single facility in Slovakia. From our glassware operations with 9 furnaces in 5 facilities, 2 of which located in Turkey and the rest in Bulgaria, Russia and Egypt, we generated 12% of our consolidated revenue. However, the business line had a dilutive impact on our EBITDA given negative EBITDA profitability due to unfavorable demand dynamics, leading to higher days of inventory outstanding and amplified exposure to high inflation. Please be reminded that the relocation of handmade glassware production from Denizli facility to our automotive glassware manufacturing facility in Kirklareli was completed in close to December and as planned. We anticipate achieving cost improvements in our glassware operations by 2026 following this strategic move targeting to enhance the economic value of our nearly century of glassware tradition. Energy segment's performance resulting from our electricity trading operations came in with 6% share in total revenue and neutral impact on our operating profit. On Slide 7 and 8, we aim to present the key takeaways regarding the full year performance of our core business lines on an individual basis to provide you with a concise summary of our glass and chemical unit performance in comparison with the prior year from both operational and financial perspectives. Our sectoral glass business was resilient despite challenging market conditions. We announced that we advanced the cold repair process at our North Italy facility, and this helped us to maintain our output levels consistent with the previous year with higher capacity utilization rate. This recalibration of production levels enabled us to sustain operations without product shortages while benefiting from lower per unit production cost, thanks to 600 basis points higher capacity utilization rate year-on-year. Consolidated sales volume was moderate with 2% increase year-on-year. Looking at the region-wise performances in Turkey, from business line sold 64% of the full year volume. Domestic sales rose by 6%, thanks to reurbanization and renovation projects. Incremental flat demand of industrial clients for export purposes to the surrounding regions after processing has further supported the sales. Combined with the performance in direct export plant as a balancing component of the production and sales schedules majority of time, Turkish facilities overall sales volume moved by 3% year-on-year. Europe-based facilities sales grew by 3% in tonnes, driven by demand for value-added, particularly coated glass in the region. Europe emerged as the second largest contributor to the architectural glass segment consolidated sales volume with 22% share. India business performance was slightly up, while lower ton sales were experienced in Russia compared to 2024 due to ongoing market pressures. Strategic pricing actions in Turkey and Europe supported the revenue performance with euro-denominated product prices growing by an average of 6% year-on-year across all regions. Meanwhile, cost of sales declined by 12% in TRY terms, reflecting optimized production planning and improved cost efficiency resulting from higher capacity utilization. Consequently, architectural glass operations outperformed the inflation rate with 1% year-on-year increase in net external sales to TRY 54 billion. Segmental EBITDA margin widened from 11% to 21%. Industrial glass business line under which we report our automotive glass, encapsulation and glass fiber operations overperformed inflation by generating TRY 28 billion in net external revenue, up by 4% year-on-year. The Automotive glass and encapsulation division continued to be the major component of divisional revenue. And as a well-known Tier 1 auto glass and encapsulation suppliers, we have kept leveraging our production capacity and capabilities to get new nominations and operate with a sizable project pipeline. Consequently, the business line ended the year with 4% higher sales volume year-on-year on a ton basis driven by the scheduled deliveries to OEM clients, the automotive glass and encapsulation division. Auto replacement glass channel maintained its strategic importance, contributing 14% to the revenue stream. Average prices per ton in USD terms increased by 14% in this reporting period. In glass fiber operations, against weaker export sales due to pricing pressure of low-cost regions, domestic sales grew 4% year-on-year, primarily driven by strategic responses to demand conditions through benefiting from spot market opportunities. This led to limit consolidated sales volume decline to 14% year-on-year. As a result of enhancements attained through the efficiency management program, the business line recorded an impressive improvement in profitability, achieving a 7% EBITDA margin in 2025 compared to negative 9% in the prior year. Glassware business sales volume declined by 18% year-on-year, primarily due to weak consumer sentiment and a focus on essential spending amidst low risk appetite across key customer channels. Domestically, the market faced challenges from high inventory levels and the influx of low-cost imports. This weakness affected several sales channels, including retail wholesalers and national chain stores, which account for 84% of domestic sales. International sales also underperformed compared to the previous year for similar reasons. The overall average price per ton in US has increased by more than 15% year-on-year. However, the TRY 26 billion external revenue recorded in 2025 with 14% decline year-on-year fell short of keeping pace the domestic market inflation. EBITDA margin was delivered at minus 3%. Glass Packaging business line encountered a dynamic market landscape throughout the year. Segment production grew by 2% year-on-year with consolidated output supported by 96% capacity utilization rate average. Consolidated sales volume remained stable year-on-year, thanks to exports from Turkey, which accounted for 13% of consolidated sales and rose by 9% year-on-year. This growth was largely driven by expanded operations with our European customer base before the start of operations at our Hungary glass packaging facility scheduled to be ignited in quarter 1 '26. Sales initiatives, sales activities aimed at further penetrating the Americas have also contributed to the export channels performance. Meanwhile, domestic sales were modest, backed by positive contribution of the nonalcoholic beverage category. Sales volume in regions outside Turkey declined primarily due to weak consumer sentiment and a sluggish easing pace in the [ CIS ] regions. This was compounded by the ecological tax increase from 25% to 55% at the beginning of 2025, leading to higher retail prices for end products. The implementation of consistent pricing strategies addressing inflationary pressures and cost variations resulted in a 17% year-on-year increase in average prices per ton in USD. Consequently, glass packaging business line, net external revenue came in at TRY 52 billion revenue, up by 4% year-on-year. Material improvements were visible from a profitability perspective, thanks to pricing and cost improvement projects. EBITDA margin recorded at 16% was circa 550 bps higher year-on-year. Lastly, our chemicals operations. The global soda ash market showed mixed dynamics in 2025, largely due to ongoing oversupply pressures in the key APAC region. Additionally, cautious procurement and inventory management strategies among buyers restrained demand and hindered price growth. Our consolidated sales moved south by 5% year-on-year. Meanwhile, thanks to strategic new client acquisitions, our net sales per ton decreased by only 2% in USD. The chromium chemicals market was subdued globally, influenced by macroeconomic pressures and high inventories along with tariff-related tensions and lead up to 13% drop in sales volume. However, per ton average USD prices moved north by 4% during the period, thanks to shifts in our sales mix. Resultantly, the Chemicals business line reported TRY 48 billion net external revenue, a decrease of 15% year-on-year and 12% EBITDA margin. Moving on to Slide 9. With our production facilities located in 13 countries in the majority of 2025, diversified operations portfolio and a wide range of products, we continue to cater to our clients across the globe. Despite the significant challenges posed by the disparity between Turkish lira inflation and the reporting currency depreciation, we successfully maintained 59% share of international sales in our consolidated top line. Export revenue, 55% of which was generated from sales to Europe stood at USD 938 million. Including revenue generation of Sisecam facilities located in the region, Europe accounted for 29% of our top line. U.S. market exposure through sales from U.S. natural soda ash operations as well as exports stood at 11%. Accordingly, our developed markets exposure came in at 40%. On Slide 10, you may see the details on our liquidity position. We ended the year with USD 962 million cash and cash equivalents, including USD 72 million financial assets, of which USD 68 million Eurobond investment maturing in 2026. Gross debt stood at USD 3.8 billion with a term structure of 61% long term and 39% short term. 85% of the gross debt was denominated in hard currency and 94% of the remaining balance was in Turkish lira. The interest rate structure comprised of 70% fixed and 30% variable. The hard currency share of cash and cash equivalents, excluding financial investments stood at 36%. Resultantly, our net debt position amounted to USD 2.8 billion. We are pleased to announce that in line with our managerial targets and our forecast, thanks to efficiency management program initiatives, our company's EBITDA generation capacity has a decent improvement. Concurrently, we have reduced our indebtedness through stringent controls and refinancing transactions, enabling us to benefit from improving funding costs and extending our debt profile. As a result, our net leverage ratio has been moving in a downward trend and came in at 5x compared to 7.7x calculated in quarter 1 2025. Moreover, monetary gain loss adjusted EBITDA figure indicated a net leverage ratio of 2.8x, which is below the covenant determined by recently issued Sisecam 2023 notes. We had a net short FX position of TRY 12 billion, TRY 99 million short in US and TRY 189 million short in euro. Moving on to Slide 11. Our CapEx recorded at TRY 36 billion remained below the cash outflow in relation to investments in the prior year. The distribution of CapEx across business lines was as follows: 47% of total CapEx was attributable to architectural glass segment, mainly in relation with the cash outflows on the ongoing greenfield flat glass facility, furnace and coated glass projects investments in Turkey Tarsus, the new glass furnace and energy generation glass processing plants that were taken online at the same location in quarter 3 '25 as well as the new coated lines introduced in Bulgaria and Italy this year. Capital expenditures with regards to the greenfield glass packaging investment in Hungary, the commissioning of which we announced this month and payments made in relation with the coated [ glass ] processes in Turkey and Georgia corresponded to 28% of the total. Chemicals segment accounted for 10% of consolidated CapEx figure with payments mainly with regard to operational efficiency and maintenance investments in Mersin and Wyoming plants. The remaining balance was related to industrial glassware, energy and other segment maintenance and cold repair expenses. We ended the reporting period with a cash inflow from operating activities of TRY 40 billion compared to TRY 41 billion in the prior year. Including the monetary loss on cash and cash equivalents, we recorded a negative free cash flow of close to TRY 32 billion versus TRY 40 billion in the prior year, thanks to controlled management of investments. On Slide 12, you may see our key financials without the impact of IAS 29 as provided to our main shareholders for the consolidation purposes and as announced on the public disclosure platform or information symmetry. In the following section, we will update you with some key developments in our sustainability agenda. In line with the Turkey sustainability reporting standard TCRS issued by the Public oversight Accounting and Auditing Standards Authority, we published Sisecam's first TCRS aligned sustainability report on August 1. For the past 12 years, we have been voluntarily reporting our social and environmental impacts, including climate change, demonstrating that ESG considerations have become an integral part of our business strategy. With this new regulation, we have taken this approach as a step further, adopting a more comprehensive and advanced structure under the TCRS framework. In our TCRS report, we provide detailed information on our sustainability governance, our resilience to climate change, our risk and opportunity management practices and the role of our product portfolio in managing climate-related impacts. The full report is available in both Turkish and English on our website. In addition, we shared our long-standing voluntary sustainability report with a continued focus on transparency and accountability. In our 2024 report, we recorded notable progress across the teams of protecting the planet, empowering the society and transforming life. Under the Protective planet pillar, we launched the solar decarbonization road map as the second phase of our low-carbon production road map aligned with our 2050 carbon neutral target. Our certified renewable energy procurement reached 184,000 megawatts and our water withdrawal per unit of production decreased by 27.7% compared to 2020, reaching 3.4 cubic meter per ton. Within the empower society pillar, we participated in the Women Empowerment Principles in [indiscernible] pilot program to support gender equality. We provide a total 474,000 hours of training to our employees in Turkey and delivered approximately 200,000 person-hours of occupational health and safety training. Under the transform life pillar, we assessed 81 critical suppliers in our project focused on monitoring sustainability performance in the supply chain. Through our RPA Hackathons, we implemented 70 digital automation projects, achieving a time saving equivalent to 31 FTEs. We allocate 70% of our R&D expenditures to sustainability-related projects and recorded 41 patent applications, 18 patent registrations, 5 international patent applications and 492 design registration applications. Additionally, in 2025, we revised our responsible supply chain policy, which enables us to engage with our suppliers and business partners within the framework of universal ethical principles. In parallel with a EUR 200 million investment, we commissioned the flat glass furnace and energy glass lines in Tarsus, bringing significant additional capacity to Turkey's production landscape. Built with modern technology and offering an annual production capacity of 47 million square meters, this new line will produce high-quality glass with high transmittance performance, specifically designed for photovoltaic panel manufacturers. In addition, we proactively manage our ESG performance and continue to work towards strengthening our results each year. In this context, in the 2025 Carbon Disclosure Project assessment, our scores for both climate and water were at the B level. We sustained our strong performance with an A- rating in the Refinitiv sustainability score and maintained our place in the BIST 25 Sustainability Index. We achieved a score of 63 on Ecovadis. We continue to be listed in the MSCI Global Sustainability Index with BBB rating. Our S&P Global Corporate Sustainability Assessment score 2024 was announced at 47. According to Sustainalytics, we are positioned in the medium ESG risk category. At the World Soda Ash Conference, where we participated as a strategic sponsor, we brought together key industry representatives. During the event held in Spain, we had the opportunity to highlight our sustainability strategy, our approach to low-carbon soda production and our innovation-driven investments. In the previous years, we took part in numerous national and international events this year as well, sharing our sustainable strategy and vision with broad audiences. Through the Sisecam International Glass Conference we organized in Munich, we underscored the importance of collaboration and innovation in shaping the future of glass. Throughout the event, we hosted variable discussions on topics such as decarbonization, energy efficiency and material science, critical areas that will guide the future of industry. As part of our 90th anniversary celebration, we had the Global Supplier Summit, bringing together our international business partners. At the summit, we discussed key themes shaping today's business landscape, including sustainability, digital information and operational design. We also presented sustainability awareness awards to suppliers who stood up with the innovative and impactful practices. In addition to -- in addition, we participated in the TCRS assessment conference held during the year, where we contributed to sector-wide awareness by sharing our compliance journey approach and practices related to the new standards. At the Sustainability Development Association Turkey member meeting, we exchanged insights on our environmental strategies and cross-sector sustainability practices. Furthermore, within the scope of the ITU Glass Technologies Engineering certificate program, we engaged with university students through all our areas of expertise shaping the future of glass. We shared our knowledge and experience across a wide range of topics from Sisecam's production processes and investment strategies to our sustainability approach, communication activities, R&D and product development, sales and marketing operations, career development and Sisecam Academic programs. This was the end of the presentation. Now we can move to the Q&A section.
Operator: [Operator Instructions] Our first question comes from Evgeniya Bystrova from Barclays.
Evgeniya Bystrova: Congrats on results. I would like to ask you about profitability and margins. If we look at Q4 in more detail, I guess, quarter-on-quarter, there is like a slightly weaker margins on EBITDA side also on gross margin side. So I was just wondering if this is -- if this relates to seasonality or there was some impact on the OpEx side affecting Q4 margins compared to Q3? And also, if you could please comment on your outlook for EBITDA margin for 2026. Should we expect improvements on the glass side in terms of profitability, but weakness in chemicals given the market environment, that would be very helpful. And if you could also please touch on your CapEx outlook for this year, that would be also very helpful.
Can Yucel: Thank you very much for the questions. This is Can Yucel. I'd like to answer the first part of your question about decreasing the margins in the last quarter of the year. This is something we've been anticipating. There is a level of seasonality as well, but the main reason is, especially on the chemical side, stemming from the margins on the solar business. As we are all aware, the oversupply in that market is clearly pressuring the margins on that business, and this is what we experienced in line with other players in the market. We will see positive improvements on that side in the following year. And our expectations on the overall margins for the following year, as we explained in our announcement and in this presentation. The main thing is the level of pricing, especially in Turkey and Europe is improving starting from 2025, and we're expecting to see the improvement continue in the following year or this year as well. But the most important opportunity for us is the value-added products. Till now, we've been serving the coated flat glass market with the existing capacities. And as we announced in the first month of this year, we've been introducing additional coated line capacities in the market, mainly focusing on the European market. Those 2 will be Bulgarian and Italian lines, which we introduced how will they perform and how much they will contribute will based on the pricing levels, but the positive EBITDA margin or improvement in the margin will come from that side. And maybe the last part of the question is the CapEx that we will undertake this year. Gokhan will comment more detail on that one. But one thing is very critical. 2025 is a very important or critical year for us because we've completed our major CapEx in this year. The openings or the ignition of the furnaces is starting from the first quarter of this year. We will see the contribution -- EBITDA contribution after the ramp-up period. Therefore, we will not be having any major CapEx in 2026. Our soda CapEx, which constitutes a major amount in the CapEx plan for Sisecam is currently being reassessed. I mean we've been following the pricing levels in the market and updating our forecast. So we are revising the plan on this side. We will see how much we will be investing in that CapEx in the middle of this year, and we will be announcing it correspondingly. Apart from that, the total CapEx we are expecting for this year is around USD 500 million, and it is mainly coming from the payments of the CapEx that's been realized in 2025, and these are the parts which will be paid in 2026. The remaining part is our usual maintenance CapEx. Gokhan, if you have anything?
Gökhan Güralp: Yes. Can may explain in more details also to sum up, the level of the capital expenditures will not exceed [ 25 million ] in 2026. And by the way, we are almost commissioning most of the investments. And starting with the first quarter, we already ignited the furnace -- first furnace for glass pack in Hungary. And also we already ignited the coated glass investments in Bulgaria and also in Italy. By the way, in the rest of the year, we hope to also start productive in the remaining investments. So '26 will be the finalization of the investments. But by the way, of course, the payments for the remaining part of these investments will continue during '26. That's why we can conclude that the level of the CapEx will not exceed '25 levels, and that's why it will be around USD 500 million to USD 600 million during this year.
Operator: We are now moving to the next question from [indiscernible], individual investor.
Unknown Attendee: Congratulations for the results. Following your remarks, Can Bey, investments and efficiency were the highlights of the release. In this regard, I have a follow-up question. It is on the outlook of debt burden. Gokhan Bey has already briefly mentioned, but as cost repays and have investments left behind and can we assume still declines in that level and improvement in multiples? And if we have a time, I have a brief second question, actually, as a follow-up. Now my question is on share buybacks. Last time in earnings release, you have said it is finalized and over. program is over. As far as I know, there was no development in this team since then. Do you plan to sell these shares now or cancellation of the treasury shares? Is that also an option?
Gökhan Güralp: Just maybe I can start with the share buyback program. Just as you mentioned, we announced that we already ended the share buyback program as of June 30, 2025. And after that, we didn't announce any new share buyback program. And nowadays, it is not in our agenda. Of course, about the treasury shares, the management is reassessing how to conclude it. By the way, we are following the markets. And accordingly, we will decide, but it is not decided yet.
Unknown Attendee: It was on the debt burden. I think my question on investments is complete or have investments left behind?
Gökhan Güralp: Yes, yes. Just I checked my notes in order to remember your first question, follow-up question. Of course, the level of the CapEx will be at the same level almost with 2025. Our main aim is, of course, to decrease the net debt level. But by the way, first of all, with the generation of additional EBITDA from the new online productive investments, of course, the level of the net debt will be decreased. But '26 will be just having -- starting to have the performance from the new investments. And our main aim is, yes, to keep the net debt level at least at the same level. By the way, yes, you can see our -- if you look at our free cash flow, CapEx is the main negative cash flow item -- cash outflow item. That's why we will try to keep the net debt level at the same level of '25. But with the generation of EBITDA, of course, the leverage will be decreased in '26.
Can Yucel: In additional comment, delevering company is the main role of our team, and it is either through getting additional EBITDA from the new investments, which are finalized and which are expected to be more valued. And the second thing is we have in operative assets in our portfolio. These are our old assets that we used for production, but not available for production for the moment. We will be going through a sale process. And hopefully, we will realize the value soon and delever the company through that way as well.
Operator: [Operator Instructions] Our next voice question comes from Gustavo Campos from Jefferies.
Unknown Analyst: A few questions from my side. First of all, we see -- I was wondering if you could elaborate on your expected pricing dynamic in architectural glass in 2026. We saw a significant increase, especially in the fourth quarter. So pricing dynamic is increasing and accelerating. Do you expect double-digit pricing growth to persist into 2026? Or do you expect some kind of moderation from here? I was also wondering if you could please touch on your initiatives on idle real estate assets as well as your management of your precious metals portfolio. Are you indicating that you are looking to monetize more assets in 2026? If you could please give us some guidance on how much assets are you planning to monetize? And what are the expected use of proceeds from these assets that would be much appreciated. Those are my 2 questions.
Can Yucel: Okay. Thank you very much for the questions. Again, let's start with the last one. For the overall value of assets, disposable assets for the moment is you can assume it to be around USD 500 million. And what we've done in 2025 is we realized or monetized part of it. We've done a sale, which is around USD 50 million, and it was accompanied by a sale of a portion of our precious metals portfolio. It was around USD 10 million as well. So we will be continuing that strategy. The important thing is how much of the value of the assets we can realize for the moment. And for the moment, we are able to attract some meaningful offers. And in the meantime, I hope you will see the results very soon. Going back to your pricing strategy question. Actually, our pricing strategy for the following -- for this year is we are changing the product portfolio in many ways. For the architectural glass, as we mentioned, we will be more active in the market through the coated glass lines, and we will be trying to attract the additional margin there. But the overall rule of cost pass-through will be available for this year as well. We started the same strategy in the Turkish market by the beginning of this year, and we will continue as much as we can for the following part of the year too. do you have another comment?
Gökhan Güralp: Yes. Just to explain about the assets, yes, maybe our investors can follow the balance sheet, we already accounted most of the assets as investment property on hand. We are reassessing the sale of these assets in order to generate additional cash and accordingly, of course, in order to decrease the leverage.
Unknown Analyst: Understood. So if I may clarify the amount of proceeds that you already monetized in 2025 and the expected amount of proceeds that you are planning to monetize in 2026. I know that it may not be certain yet, but did I understand it was something around $500 million expected like a targeted amount for 2026. Is that correct?
Gökhan Güralp: Yes. Appraisal values of these assets are around USD 500 million.
Can Yucel: This is not a targeted amount because the targeted amount depends on the market conditions. This is the total value of the portfolio. This is the appraisal value of the portfolio. And in any case, we find meaningful offerings or realized prices, then we will go through the sales process one by one. We cannot comment on how much of it we can realize for the moment because these are valuable assets and they are, I mean, high value per asset. So we will see how the market will react. But I can see -- you will see the improvements soon in the following months.
Unknown Analyst: Understood. And you are still expecting to be free cash flow negative in 2026 even with these proceeds. Is that a correct assumption?
Gökhan Güralp: Even with these proceeds, we cannot comment directly. But without taking into consideration of the proceeds, we -- based on -- because of the CapEx size that we mentioned around USD 500 million to USD 600 million, we are waiting for negative free cash flow. But with this additional cash generation from the asset sales, of course, we hope to decrease the level of the negative free cash flow.
Operator: We'll now move to the next question from Matthias from BlueBay Asset Management.
Unknown Analyst: My questions have been asked and answered.
Operator: Our next question comes from [indiscernible] from Azimut Group.
Unknown Analyst: I don't know if this was asked and answered, but you mentioned that you ignited the furnaces in the glass segment that were in 2025. Does this mean that your volumes are expected to be higher this year and margins will be better given that -- given the demand environment. And again, on the leverage, do you think -- I mean, as far as I understand, your net debt to EBITDA will be higher in 2026 compared to 2025. Is this correct?
Can Yucel: The commission lines are basically aimed at high value-added products we quoted last time. So we will be increasing our capacity on that business. And the purpose of those investments are to achieve the higher-margin products, and we will see improvements in the margin, which will affect our financial position accordingly.
Operator: Our next question comes from Erica Ive from MetLife.
Unknown Analyst: The first one would be on EBITDA. I remember it was mentioned before that EBITDA from new investments -- commissioning of new investments would have been this year between USD 150 million to USD 200 million. Is it still the case considering what has been commented just before about margins and so on?
Can Yucel: These are the non-I figures that you're expecting. These are still...
Unknown Analyst: Yes. And in terms of -- it was mentioned as well in one of the recent updates that you would have used, yes, asset monetization, but possibly also factoring receivable discounting and supply chain facility. Could you give us an update of how much do you think to use basically to draw this year?
Gökhan Güralp: Yes. By the way, yes, just Erica, we are following, of course, the opportunities in working capital financing activities. At the year-end in 2025, -- we didn't use factoring for receivables just we follow the market and accordingly, we didn't realize any factoring activity. But for the coming current year '26, of course, we will follow the market conditions and in order to have better working capital results, of course, we will continue to follow such kind of opportunities, of course. And in trade finance, in also factoring in additional tools, we are always following the market. If we see opportunities with good rates, of course, we will perform.
Unknown Analyst: That's very helpful. And then if I may squeeze another question is that in all honesty, I was a bit surprised about the fact that in the final quarter of the year, you generated negative free cash flow because I remember you said it that you would have expected positive to breakeven free cash flow in the second half of the year in total. So -- and in fact, leverage went to 5x, where I think before we were saying below 5x. Is there a particular reason why you kept a very high level of CapEx bar just because you feel comfortable that ultimately you can deleverage where you are targeting? Or yes, can you just give me a bit of insight why is it that you took a decision to still burn some cash?
Gökhan Güralp: Yes, Erica, just I can summarize quickly. In '25 and '26, as we mentioned, we do not expect any positive cash flow because of the size of the CapEx. And in the last quarter, especially '25 in order to accelerate the of the furnace in order to be productive starting with the first quarter of '26, we accelerate the CapEx in order to start to generate EBITDA as soon as possible and in order to decrease the level of the net debt, of course, and keep the net debt level at least at the same level of end of '25. So '25 and '26 almost will be the same will have the same free cash flow structure, negative free cash flow. And after ending these investments and starting to generate additional EBITDA, as you also asked with the additional USD 150 million to USD 200 million, we will start, of course, to generate most probably without any new CapEx, positive cash flow starting with '27. Acceleration of CapEx created, of course, the same level of the negative free cash flow in the last quarter.
Operator: We are going to move to the last question of the call for today from Gokhan [indiscernible] from Istanbul Portfolio. Okay. Since we are unable to connect with Gokhan, I will pass the line back to the management team for their concluding remarks.
Can Yucel: Thank you very much for your time and joining our presentation. We would like to thank you very much for the questions as well. I hope we answered all the questions. See you. Thank you very much. Bye.
Operator: Thank you, everyone. We are now closing all the lines.